Operator: Good morning, everyone. Thank you for joining us today for our presentation. First, I’d like to go over a few logistics before we begin. We’ll begin our presentation this morning with our Fourth Quarter and Full Year 2016 Earnings Results and then we’ll directly to our Long-Term Outlook. Following this presentation will be Q&A. At 12:15 we will break for late lunch and then we’ll be welcome to join us for our Seminar in Q&A on the Renewables business, which will then conclude at 1:45. For each presentation, please hold all of your questions for the Q&A sessions, as we will not be taking questions during the presentations or the breaks. Presenting our fourth quarter and full year earnings presentation and long-term outlook update will be Jim Torgerson, Chief Executive Officer; Rich Nicholas, Chief Financial Officer; Bob Kump, Chief Executive Officer of Avangrid Networks; and Frank Burkhartsmeyer, Chief Executive Officer of Avangrid Renewables. Please note that copies of our presentations and press release and also our fact book are also available on our website at www.avangrid.com. Finally, during today’s meeting, we will make various forward-looking statements within the meaning of the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995, based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements, if any of our key assumptions are incorrect or because of other factors discussed in Avangrid’s earnings news release, the comments made during this conference call in the Risk Factors section of the accompanying presentations or in our latest reports and filings with the Securities and Exchange Commission, each of which can be found on our website avangrid.com. We do not undertake any duty to update any forward-looking statements. Today’s presentations also include references to non-GAAP financial measures. You should refer to the information contained in the slides accompanying today’s presentation for definitional informational and reconciliations of non-GAAP financial measures to the closest GAAP financial measures. With that said, I will turn the call over to Jim Torgerson.
Jim Torgerson: Thanks, Patricia. I want to start with our year-end results, which we had very good results for the year. Notwithstanding some of the challenges, we have our guidance during the year, but for our first year as a company, we did accomplish a great deal and we’re very optimistic regarding the future. I feel really good about the future. If you look at the first slide here, after we get all of the – boiler plate all the way, fourth quarter net income was $207 million or $0.67 a share, this is on the full GAAP measurements, full year net income $630 million or $2.04 a share. What key here executing on our strategic plan, the capital investments we made, we’re at 64% above where we had in 2015, now keep in mind 2015 only included UIL for 15 days, but we spend $1.9 billion during the 2016. We also had our initial integration activities. Okay. The initial integration activities, which really we’re just bringing together Iberdrola USA and UIL. Now we’re looking at working on best practices. We’re going to be implementing that starting going forward. We did get some very good regulatory relief and stability going forward. Looking at our three-year rate cases in both New York and then also in Connecticut, so we have the assurance of getting three years worth of rate increases and stability and also our capital spending for that matter in both those jurisdictions. We’re – the delivering on our dividends commitments, the Board has declared the quarterly dividends still at $0.432 a share. That was declared last week and will be payable April 3. We’re also planning to increase the dividend 2018 consistent with our 65% to 75% payout ratio. Now the other thing, I want to mention is the Gas Storage business, which we’ve said is non-core, we’re actually looking at strategic options related to that business now. And so we excluded it from some of the guidance. We still have the number there. So you can still understand what is delivering. Looking at our strong performance in 2016 and this again is under GAAP, you can see that earnings we’re actually up 116% net income and earnings per share 81%. Now keeping in mind that only included UIL for 15 days and we’ll get to the adjusted numbers in a second. Also in 2016, there is a one-time adjustment, we had a gain on the sale of the Iroquois pipeline it was $0.06 a share. And some of the benefits in 2016, we have a rate agreements that a lot of rate release for about six months for out of New York. We did have a little higher wind production and the extension of the useful life for the wind assets. The production was higher than 2015, but still below what we consider a normal or a year and then start of the integration of the companies. Looking at this what we’re going to characterize as adjusted net income. Now in an excludes the some of the non-core items, one being the Gas Storage business and also we exclude any mark to market and we’re doing that going forward as well, but also the Iroquois sale in a couple other items, you can see list at the bottom there. But adjusted net income was $206 million or $0.67 a share in the quarter and the full year was $640 million or $2.07 a share. Some of the adjustments the Gas Storage business lost $42 million or $0.14 a share in 2016, mark to market actually a positive in the year of $11 million or $0.04, some other one-time items mainly the sale of Iroquois and then an impairment of our interest actually was in the Kinder Morgan pipeline was about $11 million or $20 million, I’m sorry. And then including UIL actually added $201 million or $0.65 a share. So now looking at the adjusted earnings, with all those adjustments, we look at the earnings per share for the quarter were actually flat and the adjusted net income was basically flat as well. Now a couple things I want to mention there. We do get the benefits of the rate agreement. We have efficiencies best practices. Actually every one of our operating business was improved over 2015. But the effective tax rate was higher in 2016 over 2015, because we didn’t have as many credits going forward so in that year. So all the businesses improved, but the earnings ended up being flat because of the taxes. In – for the year it was up 20% on an adjusted basis from $1.68 up to $2.07. So we did improve wind production again not as much – not normal but better than 2015 in the useful life extension. And as we said there were tax benefits in both years, 2015 have to be higher. Now looking at our capital spending, again and this did not really included UIL for 15 days, but we spend $1.2 billion in 2015 and up to $1.9 billion, 60% of the capital spending was in the networks business. The Renewables also included the Amazon Wind Farm US East and some other wind projects or other construction, also we have the Safe Harbor and the Repowering purchases of about $200 million in the end of the fourth quarter. That allows us now to get the PTCs assuming we get purchase power agreements to back all those up. The rate agreements in 2016 really did a lot to enhance our stability and along with the annual FERC true-ups. We have certainty on about 80% of our rate base greater than 80%. So we have three-year rate increases retract in May 1, 2016 in New York for all of our businesses, New York State Electric and get both Electric and Gas, also for Rochester Gas and Electric, again both the Gas and Electric. We also got the approval to recover the $260 million of past storm cost, so those are being recovered over a five–year period for part of the 10 years for another part of it. The ROE was 9% based on 48% equity capital. Now we start sharing 50/50 after a 50 basis point deadband, but it’s also calculate on 50% equity. So the decoupling and reconcile you may reconciliation mechanisms for certain costs are already in place there and they continue. The UI electric rate decision was three years as well start of this last January on 2017, the capital plan was approved for all three years. The ROE is 9.1% and a 50% equity capital structuring and the decoupling continues. Now the dividend, we pay a quarterly dividend $0.432 a share. The Board has determined there – that is going to be the floor. We are committed to that. And with a payout ratio 65% to 75% assuming the Board agrees and the Board obviously seen this, but the plan is to start raising the dividend beginning in 2018. Some of the major accomplishments in 2016, one, we have the completion of the 208 megawatt Amazon Wind Farm US East and an additional 536 megawatts are under construction. We have the implementation of a Safe Harbor strategy where we have enough invested that we can secure up to 2 gigawatts of wind and Repowering up to 350 megawatts. We’ll talk about what’s actually in our long-term plan when we get to that portion of it. We’ve announced 66 megawatts of solar. We have an additional 100 megawatt contract that will renewed, another 70 megawatts of merchant that we’ve not contracted for. And as of now we’re in the absolute final stages of executing another long-term PPA at our Montech Wind Farm for 200 megawatts. Constructive rate agreements, those are the provider us great rate stability for us along with the annual FERC true-up. So, like I said, more than 80% of our rig base is pretty well determined, we filed for the advanced metering infrastructure and the earnings adjustment mechanism in December, we expect answers from the New York PUC some time later this year probably second half. And we’ve got a pretty good strong – pretty strong reliability in customer satisfaction scores across all of our utility. Then in particular in New York, we actually had an incentive that we earned for the first time this last year. Now to small amount few hundred thousand dollars, but we actually earned an incentive in our gas business. Now the first phase of our integration has been completed. Credit ratings were upgraded during the year for Avangrid and its subsidiaries, we had some governance improvements we actually added two new independent directors. And we’re finalists in the New York stock exchange governance awards. So all in all, our governance has been improved fairly well. When we look at the guidance for 2017, now keep in mind, this excludes the gas storage business and any mark-to-market. But we’re looking at a range of $2.10 to $2.35 and this is on an adjusted EPS basis. Networks to be $1.66 and $1.74, Renewables, $0.50 to $0.65, then the Corporate charge of $0.08 to $0.05. Gas storage, which is again non-core not included in the base numbers but just so – it would be $0.08 to $0.12 loss is what we’re seeing for the full year of 2017. When you look at the Networks business, we’re going to have a full year of the nice NYSEG, RG&E, the UI rate case and then the full integration efficiencies in best practices and one other thing to notice that was in the numbers and networks before now has moved to Corporate. We have the UIL and has $450 million of debt that is moved up to AGR. So that’s part of Avangrid, now and not shown in Networks. So the interest expense that would have been there before has now part of Corporate. We’re also assuming we get normal wind, coordinated some of the historical averages in – that are 2011 to 2014, it’s really the Net Capacity Factor, 31.4% almost 32% is what we really see for the Net Capacity Factor for our existing wind farms. Last year it was really – actually it was close to 30% I think rather than 29% that we have there. We will have a full year of the Amazon wind farm this year in 2017, again we’re excluding any mark-to-market, we reported on GAAP, but for guidance purposes it’s almost impossible to say what that’s going to be. And a full year extension of the wind assets of the useful life, now we’ll have the full year of that rather than a part year as we did last year, because we couldn’t get all the leases assigned appropriately. And we’re also assuming a federal tax rate of 35%. So, wherever that may end up. Now a couple of key opportunities and risks in 2017, and again the earned distribution ROEs, the distribution companies we expect to earn the allowed returns at a minimum. FERC transmission ROEs, there’s several cases going on there four complaints. We’ve assumed that it’s the one I would give us the 10.57% return as a base and up to 11.74% as to the cap on that’s kind of the assumption I think we’re looking at right now. But we’ll have to wait and see what FERC determines. Once they get a full commission right now the down to two commissions as you know. So they don’t even have a quorum. So whenever that occurs, then we’ll look at what the transmission ROEs will be. Federal tax reform as I think all of you know is going to be something that’s being pushed. And Congress are – will be, we have a slide in our long-term projections to show what the impact on us would be, but there actually could be minimal to no impact to fairly positive. Wind production, again that assuming its normal, that’s what we have in our plan. That hasn’t been the last two years. It’s been a little bit below. So hopefully it’ll pick up this year and we have to execute on our capital projects are O&M, but basically with what we have today we should – we are very comfortable of the guidance we have and then we get into the long-term, we talk about the 10% growth. Merchant wind prices again another risk or an opportunity depending on, which where they go, and also then implementing our best practices. So now, I’m going to turn over to Rich, who is going to talk about the financial results.
Rich Nicholas: Thank you, Jim. Good morning everyone. Thanks for joining us here today live in New York and thanks to those who are all online with us. For those online, I’m moving to Slide 16 now I’ll do a little deeper dive into the results for last year. And as Jim mentioned, going to this concept of adjusted net income, we’re really looking to focus on the core business going forward be as transparent as possible as to the results. And be responsive to the comments that were received from investors over the last year for around things like mark-to-market. And so that’s why we moved to this concept of adjusted net income. Again, looking to be focused on that core part of our business as we could. So the adjusted net income up 23% for the year versus 2015 and looking at the bottom right side of the slide. We break out what happened what comes out in that adjustment as Jim had mentioned, we’re moving mark-to-market profits or losses from sales on investments. And then taking out, the non-core, all of that on a rounded basis rounds to a $0.03 change, and so that’s how we end up at $2.07 for adjusted net income versus $2.04 on a GAAP basis. So, turning now and breaking down by segment. As you can see on the pie chart on the left side, adjusted net income Networks still is the biggest part of our business, 75%, Renewables 15%, and Corporate actually contributed 10% last year, due to some of the tax items that Jim mentioned. Some of our states have introduced a unitary tax regime over the last couple of years, New York in 2014 and Connecticut in 2015, and you actually pick those up the following year when you file the returns for those years. So in 2016, we had about $0.11 of unitary tax adjustments resulting from those games that actually hurt the Renewables business, but it was positive to Corporate. So no change on a consolidated basis for that item, but when you do look at the Renewables results they look a little low for the year compared to where we’re guiding for next year. You’d add back that $0.11 to take out that adjustment for the unitary taxes. Also there was a settlement in Maine around some deferred tax flow through items that added about $0.02 to Corporate as well. And another transition rule in New York that added about $0.02 in the Corporate segment. As we look forward to 2017, that should normalize, although we have to file taxes in 26 states – so you can ever be absolutely sure exactly how that unitary tax is going to work out. The other thing that happens in the unitary tax regime is sometimes States will change their allocation factors, whether it’s there’s a three part allocator based on sales assets and payrolls, Connecticut just changed to just sales only. So depending on the relative position to other states again that can move taxes around. Turning to our cash flow for the year, very strong cash flow from operations basically equal to our capitals, spending our cash CapEx for the year with a little bit of cash left over and with some debt that we picked up during the year, we fully funded all of our CapEx all of our dividend requirements. Most of the spending as Jim mentioned was in Networks. And even with that, we still had $137 million of available cash from operations from the Networks business. Then Renewables minus 53, but we did spend the $200 million right at the end of the year around the Safe Harbor purchases. So turning to Slide 19, where is our debt – our leverage really is primarily at Networks as you see almost 84%. At Corporate now, we have the – what had been the UIL Holdings company debt that was incurred back in 2010 to purchase the three gas local distribution companies. That’s moved up into the Corporate segment UIL Holdings is really just an intermediary shell holding company now. And that’s a drag of about $0.04 on Corporate going forward the interest on net debt. A little bit of short-term debt at the end of the year $152 million. And then we have some tax equity financing that is amortizing off at the Renewables business. We continue to have our $1.5 billion credit facility, and $1 billion commercial paper program backed up by that credit facility. So when we look at just a couple key credit ratios are net leverage, they’d just picked up a little bit from 24% at the end of 2015 to 26% at the end of 2016. And net debt divided by adjusted EBITDA still very strong at 2.6 times. Our credit ratings for the year Avangrid Holding Company now is BBB+ pretty much across the board. And many of our subsidiaries also were upgraded in Connecticut and Massachusetts as a result of adding specific ring fencing provisions that came out of the merger agreements and for Avangrid Holdings Iberdrola SA was upgraded which helped our overall rating as well. There are important reconciliations in the appendix of between GAAP and non-GAAP and at this point. I will turn it back to Jim to begin discussing our long-term update.
Jim Torgerson: I got to get through all appendices. And we go the next presentation, which they’ll load up in a second as well. But let me start, while they are loading this up. First up, I’m really enthused about out long-term outlook, when you think about it we’re probably arguably one of the highest growth rates in the industry and what I want do today and with our team is explain how solid this really is and how doable it is. So I think you’ll find that all of us really feel very good about where we are going, how we are going to get this done and that it’s just a very solid opportunity for us. So when you look at this we have as you know eight regulated utilities in Connecticut, many in Massachusetts and New York it’s 3.2 million customers $8.7 billion repays okay that’s all nice. We really consider ourselves to be the utility of the future. We’re expanding our investments in infrastructure improvements and also in the grid information modernization. So we’re already doing the things that people are talking about for the utility of the future. We believe we’re already there, plus with our renewable business. And the second largest generator of electricity from wind in the U.S and we have 5.9 gigawatts installed today. We’re expanding our renewable business with greater opportunities into all and much of it’s secured by the Safe Harbor. We have 2 gigawatts that are already secured for that and then the repowering of the 350 megawatts. Our financial strength we have very low leverage. We have really robust cash generation and the support of Iberdrola Group. So we have significant capital investments in growth opportunities and a commitment to increase the dividend now. And so the other thing we mentioned already but we are exploring strategic options for the gas storage business. When you look at what we really are. We have diversity, experience and opportunity. So look at our assets in regulatory diversity, that provides the stability and predictability that you want to see in a Company like ours. We know like I said 80% of our rate base in Networks. We already are either determined or in FERC assets are done annually trued up. We have strong growth opportunities in our regulated assets and our contracted renewable business. We have great cash flow, a strong balance sheet. We won’t be at the cash tax payer through at least the time of this forecast period of 2020. Annual dividend floor of a $1.728 with increases expected to begin in 2018. And we’ll have the continued implementation of the utility of future with the focus on advanced metering infrastructure and this smart grid initiatives. Looking at our adjusted and again this is adjusted earnings per share, we are reaffirming the 2014 to 2020 CAGR at 8% to 10%. We’re also rebasing the 2016 to 2020 off of 2016 at 8% to 10% as well. And you’ll see how solid this is in a few minutes. Keeping in mind, it does exclude the gas storage business and any mark to market. So for net income and again this is for 2016, we had $630 million. Our estimate for 2020 is in the range of $870 million to $950 million or 8% to 10%. Adjusted EPS starting at $2.07 going to $2.80 to $3.05 again 8% to 10% adjusted net income actually it’s a little higher of 641 because if the adjustments that were made. So that again, still in the same range and 8% to 10% adjusted EBITDA is also 8% to 10% going from $2.8 billion to $3 billion by 2020. So keep in mind what those adjustments are, that no mark-to-market going forward and elimination of the gas storage business, at least not including the gas storage business, we are reviewing what we are going to do with that at this point. Look at our capital investments $9 billion to be invested in the 2017 to 2020 time frame. So $2.25 billion a year that’s about up 15% from the previous plan. The increases in opportunities, in Renewables with the Safe Harbor and then in networks with the advanced metering infrastructure and some investments in the grid modernization. And if you look at, really the networks because of those changes are about, its almost the same without a little bit of year-over-year for the forecast period. Renewables is the one that’s really up in that because we are adding another 600 megawatts to our forecast over what we had last year. And now 200 megawatts we now have operating so that comes up but we also have 50 megawatts in our forecast for repowering. So we’ve opted from last year we said we’d have 1.4 gigawatts of during the forecast period, now we’re sayings it’s 2 gigawatts but 200 megawatts already went operational, so it’s up a little bit. And 50 megawatts for repowering out of the 350 we’re eligible to do. So we are not forecasting everything at the moment. We were really confident in our long-term outlook with the investments when you look at 73% of the investments are what we’d call secured at this point. In networks 91% have been determined in rate cases already for investments that we’re going to do. So the only thing that’s left is 9% and those are what we call highly likely that’s the AMI and the distribution improvements, which we fully believe will get approved by the New York commission but they haven’t been yet. So we’re putting that in the highly likely category and just to further elaborate there are no risk adjusted projects included it all. We haven’t include that one bit, so none of the transmission projects we had last year they were subject to in RFP are included in our forecast. Now that would give us another at least $500 million in networks, we could invest that’s not even in the forecast today. In the renewable business, we’ve already secured 43% of the forecasted amount that we said, which is another 1.8 gigawatts, okay. So 17% are in what we would characterize as advanced stage negotiations right now. And then the balance where we have, we believe we’ll get another 40%, which is to note about another 600 megawatts that will rebuild. We feel very confident of, but we don’t have a contract, so we are not negotiating contracts we’re discussing it with counter parties. So when you look at the total 85% is in the secured, or highly likely category, which we think will be done very soon 15% is in the likely category that we’ve been characterized and keep in mind we also have the ability to build another gigawatt under the Safe Harbor and 300 megawatts that we can been repower that again ought even in our forecast at this point. So look at rate based growth, it’s going to go from $8.7 billion to $11 billion that’s 27% increase by 2020. 80% of the regulatory stability, we’ve already determined, New York all the capital spending has been determined there for the rate base UI, both the transmission and then in CMP the transmission as well but in UI it is a distribution and transmission. So $5.2 billion of our investments we’re make going to make in the networks business are already secured, only that isn’t is what we call highly likely, advanced metering which was approved in New York for Connect already. We believe we’re going to get it, they want it for the rev process. And then the distribution improvement program which is the grid modernization. So those are the two that are in the highly likely category, so rate base is going to grow about 7% allowing the 16 to 20 time frame. And the adjusted EBITDA is 7% to 9% for the networks business. Now looking at our Renewables, installed capacity is going to go up 1.8 gigawatts and that will be wholly build with a 100% with PPA. So we’ll end up with 7.7 gigawatts by 2020 at a minimum. We have, when you look at it 16 to 20 we have 2 gigawatts more, what it is that we have in 1.4 last year. We actually have 200 megawatts that went operational this year, which was the Amazon Wind Farm. So including that we’re really at 2 gigawatts that we are going to add. The net capacity factor again to give you a little more information, with the technology the location, the improvement in technology for the wind turbans themselves. We’re looking at new wind that will have a 40% net capacity factor. Our current operating portfolio is about 31.5%, new solar, which we are going to be adding 226 megawatts that’s what’s in our plan the net capacity factor for that is 29%, production from projects with PPAs will increase to about 73% in 2020 versus 66% last year. The installed capacity will end up being about 69%, so the adjusted EBITDA for Renewables will be up to 9% to 11% in 2020, so that’s the growth rate we see for that business. Now, integration process optimization best practices, we put in a program that were calling forward 2020 and this is for all of our businesses of Avangrid, what we want to do is become in the top tier of the efficiency in the industry, and a lot of that’s going to revolve around innovation, how do we innovate with our people. We’re looking at site consolidation, right now we have a 160 buildings of different sizes, shapes leased, bought, owned whatever, we’re looking at least 50 of them to determine, can we consolidate those do we need them, to get more efficient with that our fleet optimization, we have 4000 vehicles of some sort, we’re looking at reducing that 10%, our 400 vehicles. As we can imagine the vehicles you have maintenance on those, you have fuel, we don’t ,we determine, we probably don’t need as many as we have. So we’re going to reduce that at least by 10%. Grid automation and digitization that will improve the system efficiency, this is another part of our best practices. It starts with AMI but then goes beyond that and using that help from Iberdrola Group, we figure we’ll be able to improve our automation and then get more of system efficiency out of that. We’re targeting also hiring to attract better talent and skills for the utility of the future. You look at this, we have 25% of our workforce that is eligible to retire today, 40% of them will eligible by 2020. So we have an opportunity, I mean it’s a little concerning but we also have an opportunity to bring in people with, that can fit the skill set, that we’re going to be needing as the utility of the future more innovative, more strategic thinking, people with better technical backgrounds. So we’re looking at this as a great opportunity, so we’ll use attrition to be able to fill these roles that we see for the future. Then we’ll also be looking at standardization and consolidation of our IP systems, how do we make them more consistent, right now we have different systems from the mergers and mergers that go back to NYSEG, RG&E, CMP. And then with the renewable business. We’re going to be looking at how do we consolidate these to get more efficiencies out of our systems. So what we look at is O&M as our net operating expense as a percentage of adjusted gross margin. We’re looking to drive that down from where it was in 2015 and 2016 of 36%, 34% down to less than 30% by 2020. So we’ll be deriving the O&M cost down pushing and working to move our gross margin up at the same time. So we can do that with Renewables, we have rate cases that are already in place that are going to help us and it’s getting more efficient with all of our operations. Now we talked about our non-core business, we’re going to manage to mitigate the risk going forward looking at it strategically to see, if it fits at all, and what do we do with it. So the Gas Storage business is not included in Adjusted EPS CAGR, but even if we did include it, we’d still be at the 10%, because it’s very de minimis and you see can in the last line through the planning period, the losses are expected declined about $8 million to $10 million by 2020. So we’re exploring strategic options, the adjusted gross margin is positive and its improving, but we still lose money on it because we have about $25 million of interest costs and about $25 million of depreciation in that business, so it’s a big hurdle you get over initially. We have actually some very good assets, we own the storage facility at Katy, Texas where we have, I think 14 line-up transmission pipelines that come into there, so we have some very good assets, but the margins are so thin, we’re not making enough money on it. And we have contracted storages well. Transmission revenue is break even, as some of the out of money contracts that were there roll of in 2015 and 2016 at a negligible impact in 2017, market to market might at a break even as we manage the volatility, going forward. And as I said the finance costs and D&A are negative, but we know they’re not going top. So the net losses are going to continue but there we expect a down date to $10 million, if we still have it in 2020, so to give you some ideas on that. Now this is probably one of the more important slides, not that they all aren’t important, but this gives you an idea of why we’re so confident in our forecast. We have our base to adjusted net income 50% of the growth is coming from secured CapEx networks investments, so these are the ones that have already been approved by regulators. Another third is coming from secured CapEx Renewables these are PPAs we already have signed, so if you look at this, we would have a growth rate of 6.5% to 8.5% CAGR, if we don’t do anything else other than what RE is going to approve, RE signed up for. So now, the other things that are going to get us to the 8% to 10%. We have AMI, which hasn’t been approved but we’re really confident that’s going to occur. And grid modernization we also have PPAs, that are in negotiation right now we’re talking about, so they’re in the advanced stages if we’re characterizing it. We have best practices that we’re going to be implementing we see. So when you look at that, that’s why we’re very confident in the 8% to 10% growth we believe we can get. When you think about this, we’ve already secured 6.5 days now if we do nothing, we’ve already got those approved. So with that, I mean you’ve got 83% of secured investments in our growth plan today. Now, when I look at our financial strength, the net debt to adjusted EBITDA in 2020 is going to be at 2.8 times, probably little less but Rich will keep it down. Net leverage will be around 34%, so we’ll still be in great financial position. The dividend, we’re very confident in our growth and at looking at the long-term model, we’re planning to increase the dividend beginning in 2018. Right now the floors of $1.7296 a share payout ratio we’re looking at 65% to 75%. So the increases we expect to achieve a pay-off target, and begin increases in 2018 and to give you an example as a 70% payout ratio with our earnings per share CAGR that would result in a dividend of a $1.96 to $2.14 begin in 2020, which should be somewhere between a 13% and 24% increase in the dividend from today’s level. Now looking at Tax Reform, taking our earnings today at $2.07, we have our 8% to 10% growth, if we get at 20% tax rate, an elimination of the interest reduction that would actually be a positive for us by about 4%, because we have most of our debt, we only have $450 million of parent Company debt, that we’d have to absorb, the lower tax rate obviously would be beneficial for our Renewable business, whereas obviously the networks, its going to get past through, but also the any interest that we’re not being able to duck should get passed through as well. Now, then if we have immediate expensing of capital, that would be negative 3.5%. So you can see, if all those things happen, we’ll still be 8% to 10%. And it actually could be slightly positive for us. So this is based on our analysis of a what could occur in the – from the potential legislation. The 2020 forward program, were looking the vision we have is to be best in class in the industry, we want to implement our best practices to derive the top tier performance. So when we look at consolidating office locations, as I said there’s 50 them more than 50 we’re looking at right now. We want optimize our fleet, optimize our purchasing, we actually get very effective pricing, but the timing seems, there is a lot of delays in getting the repurchasing process. So we’re pushing to get that done quicker, faster and more effectively along with every best practice we can bring into the business, from what Iberdrola has worldwide and add anything else we can find it’s going on in the industry. Talent attraction is something were very focused on, we want to attract top talent in all areas and we are partnering with top Universities today already. We are going to be driving innovation and technology deployment, in New York we have the energy smart community. We are looking at battery storage and our Renewable control centre actually operates every all of our wind assets across the U.S. from one control centre. And its amazing what they can do, if you look at Avian mitigation, whether they are bats or birds looking at how to – when do we shut down the turbine so the birds and the bats aren’t getting struck by the turbines when they migrating, so many things we are doing that are on the cusp of new technology that were implementing today. We want to deliver customers solutions and to have high quality servers, so AMI new customers cares systems, they all enable the customer to better manage their energy use, when the Renewables were customizing our C&I products, that’s what we’re focused on right now, many C&I products we see, because the opportunity with utility are kind of slowdown we’re focusing on wherever we can – the business can be. And we bundle packages for our C&I customers. Also we have a continued focus on safety and reliability. We’ve an unwavering commitment to top quartile safety performance and reliability. So we want to create value for not just the shareholders but our customers and our employers as well. So executing on our strategy deliver 8% to 10% growth in adjusted earnings per share, we got to focus on our core business, we want to maintain our financial strength and we will be implementing best practices, while we’re committed to value creation and increasing the dividend. So with that I’m going to turn it over to Rich and then Bob and Frank will follow-on.
Rich Nicholas: Thanks Jim. So just a few more slides on the financial aspect and then as Jim mentioned we’ll get into the more details on the businesses themselves. But with that 8% to 10% adjusted EBITDA growth, as we look out in time from a EPS standpoint the network’s business we’d still be there about three quarters of the contribution 76%, Renewables 28% and Corporate, that’s the interest expense on the holding company debt. And as we look to the future we will need to raise some holding company debt in addition to the $450 million that’s there in order to fund the overall capital program. We also have other options for that, whether it’s tax equity or project financing but right now, we’ve assumed it will be up with the holding company. On an EBITDA basis, since really the holding company drag is all interest there’s no holding company slides there, so networks is about 71% and Renewables 29%. So just to spend a few moments on where we’re a year ago versus where we’re now again being responsive as we can be to some of the requests that we’ve had and how we’ve really focused on the core business going forward. So left column is where we were last year, at this time right column is where we are now. On the pricing and the Renewables business pretty similar flat pricing going out in time both for energy and for the RECs and PPAs in that $54 to $56 per megawatt hour. On a net capacity factor basis last year we were projecting around 32%, this year we broke it out separately between 31.5% for the existing wind farms and 40% as the technology has improved on the new wind farms coming into service. Last year, at the beginning of the year we had not included anything for the useful life extension reducing depreciation at Renewables, we now have that in at – basically $0.14 a year of benefit compared to where we were last year. Similar effective tax rate at 35% on the federal basis, last year we did the Iroquois sale that we were aware at the beginning of the year obviously that’s behind us and we’ve not contemplated any other one-time items going forward. And gas storage was included this year and now going forward, but we’ve taken it out as non-core. So Turning to Slide 23, our CapEx last year for five years was $9.6 billion our new four year plan 2017 to 2020 is $9 billion but if you include the capital that we’ve actually spent in 2016 it would be just around $11 billion, so up $1.4 billion on a comparable basis. As Jim mentioned we did have some probability weighted transmission projects in there last year. And we’ve taken those out. We’ve updated the wind estimates to include some of the Safe Harbor and Repowering, and we’ve put in CapEx for the AMI project in New York and the Smart Grid project in New York as well. Last year, we did not have any solar in our plan this year we’ve got a modest amount going forward and we’ve not put in those probability-weighted projects. It was also not included anything yet for Connect New York, but potential DC line running down the New York Thruway. All of these things are will be subject to RFPs. Offshore wind we’ve talked about before is really just beginning to emerge opportunities to bid for projects and would not likely have much of an impact through 2020. And there’s always other transmission project that we’re looking at but we’ve not included them in the plan. So our leverage does pop-up a little bit, as I mentioned earlier, because we have increased the capital spending over the period. And net debt to adjusted EBITDA just under 2.8 times. So looking at our funding how we’re going to pay for all this as we move forward. Cash from operations still very strong over the period we generate about $8.6 billion. Our total debt would go up above $2.7 billion to fund all of our needs including dividends over that period and to support the CapEx program of $8.9 billion. So just slightly free cash flow negative before dividends and the bulk of it is in the networks business were we’d need about $500 million of incremental funding and $200 million incremental at the Renewables business absent the dividend payment. So with that, our leverage ratio does go up by the end of the planning periods to around 33%, 34% and the net debt to EBITDA goes up from about 2.5 to 2.6 times today up to 2.7 to 2.8, we’re under 2.8 at the end of the period. And we’re well positioned for potential tax reform depending on how that happens the details truly will matter in this case, how that gets and acted, as you all know what goes into Congress and what’s comes out Congress often a very different things. So we’ll be watching that very closely and participating through our industry associations EEI and AGA. Also during the planning period, we do have some debt matures over the timeframe about $1.5 billion, primarily at the operating companies. And in 2020 again that $450 million, are former UIL debt will come do as well, but all really manageable over that period and the existing tax equity will advertise away through 2018. So our financial strategy really has a lot of flexibility and opportunity, expect to generate almost $9 billion in cash from operations, we got strong access to both the debt and equity capital markets although our plan does not vision any need for equity given the capital spending that we’ve laid out and our current leverage ratios. And we have an inter-company money pool that allows us to move money around to where it’s needed. And our existing $1.5 billion bank credit facility it was a five year facility that also has opportunity to extend at various points of times. The tax equity market is still available, although there’s a lot of wait and see on tax reform, exactly how that’s going to be impacted but there is a potential vehicle force if we find that it makes sense economically. As well as project financing in the Renewables business. And we do not have any plans just to confirm that for any yieldco vehicle we really don’t see the need for that we can raise capital cost effectively without it. So with that, I’ll hand it over to Bob Kump to talk about the outlook for the Networks business.
Bob Kump: Thank you, Rich. Thank you, Jim, and good morning everyone. I’d like to start this morning by really thanking the 5,000 men and women that makeup Networks. We had a really, really good year in 2016. And Jim and Rich spoke about our financial performance, but there’s so much more that goes into running a utility. And I just wanted to touch a little bit on those before I go into the presentation. So Jim touched on safety it's something we stress every day, and it’s something we strive for zeros. And Jim mentioned we have a near-term goal of being top quartile. So in 2016, our last time injuries in our motor vehicle instance were down 10% relative to 2015, so good performance there. We want to do better. We want everyone to be safe, but good performance. Operationally, we measure ourselves on more than 50 different metrics and many of them also were measured by our regulators. And we made every one of those this year. In fact as Jim mentioned that for the first time based upon the rate agreement we reached last year in New York, we were able to earn a small incentive if we weren’t successful at reducing leaks on our gas system in both NYSEG and RGE earned the maximum incentive of 5 basis points on equity in 2016. Also we regularly our utilities are recognized by various third-parties for their excellence in customer service and satisfaction, a couple of example this year we had very high marks from J.D. Power. CMP and NYSEG were ranked first in the east for electric and combination utilities for brand recognition by Cogent. UI got recognition from the EPA on its energy efficiency program. So you can see that kind of across the board, we really pride ourselves. On excellence in operations, we had a very good year. We make great progress on our capital spending, great progress from a regulatory perspective. And so I think it really set ourselves up well for the next three or four years. So just to start, two points I will make on the Slide number 1, and Rich and Jim spoke about this. We have significant a base of capital investment where we’re looking to make over the next four years to five years, focused not only on the electric side of the business, where there is a lot of investment needed to modernize the grid, upgrade the grid to allow for new forms of generation and demand response like we’re seeing – proceeding in New York. But also on the gas side of the business where we continue to see very good growth despite the fact that oil prices are low and create sometimes a hurdle for us. And then second, by having eight utilities in four different jurisdictions and the regulatory contracts around those including for the most part RDM’s at all of our companies with exception of two smaller companies, and a lot of true-up mechanisms, we really think that we have a solid base of diversification to provide both stability and predictability to our results. So as we think about the growth drivers for the business, there is really four. And the first is kind of setting the solid foundation for growth by having good rate agreements in place. And we had excellent success in 2016 in terms of the three-year agreements we’ve reached at NYSEG and RG&E for electric and gas, as well at UI. And Jim mentioned, statistics that when you take rate base associated with those companies and you add to that the rate base associated with our FERC regulated transmission which is updated annually, that 80% of our rate base that we now have certainty on for the next three years. Second are called our core or base CapEx, so it’s focused on distribution upgrading, modernizing the system. It’s looking at REV-related principles in New York. So fully of rolling out AMI for example, automating the system, it’s looking at gas expansion, as looking at from a transmission perspective. And this is the third piece, what can we do to help solve the energy issues that we’re facing in New York and New England where we’re trying to reach certain RPS standards and quite frankly in many instances the transmission system is not yet up to the task. And then lastly and this is an area that we made good progress on in 2016 and much work to be done going forward and that’s our focus on continuous improvement, okay. Everything we do we challenge whether we’re doing at the best way. And we constantly look for best practices across our utilities and quite frankly across all of Iberdrola where they’ve been very helpful in this crowd looking at ways to run the business as efficiently as possible. From my perspective makes this very important as you think about all the investment that needs to get made in the system be it distribution or transmission. Everything else is equal that can create some significant rate pressures for consumers. So we have to be as absolutely efficient as we possibly can to offset those rate implications for our customers. We strive within our utilities to have the lowest distribution rates of any of the utilities in our region. So here’s the base CapEx plan, it’s $5.7 billion through 2020. As Jim mentioned, we have taken out any probability weighted investments. So this is kind of core investment, if you would, it does include, and I’ll get into a little bit, I have a slide in a minute AMI, which we view as being very highly likely to be put in place because we have other utilities in New York that already have had AMI approved for their systems. Beyond that so I can say that we have a portfolio of projects that we’re working on the transmission side that we feel very optimistic about and we think can add significantly to the growth numbers you see here for the networks business. So looking at rates, I’m not going to repeat what’s been said already in terms of the agreements that we reached in New York and in UI and Connecticut. I’ll just say that our focus this year from a rate perspective is on three companies, it’s CMP distribution business, CNG and SCG are two gas businesses in Connecticut. Of the three I would say at this point probably the one that’s going to be most in need is going to be SCG, it’s been out the longest and it doesn’t have an RDM, whereas the other two do. But I can tell you that we’re looking at everything we possibly can to minimize or potentially avoid rate increases to my point earlier about trying to maintain our rates as competitive as possible. Okay, let’s stop now for a second and just go to New York, just a couple of slides here. You’re probably aware that in New York is a part of REV, the commission is giving utilities and opportunity to earn up to a 100 basis points of incentives for meeting various targets within the overall REV initiative, we made a filing in December that essentially focuses on four areas, system efficiency, getting the load factor of the system up, reducing the peaks; energy efficiency, helping consumers use energy more wisely and to conserve that where AMI and kind of these rates come in; interconnection, how quickly and how efficiently we are at helping distributed generation interconnect; and then our success around helping the state with a clean energy standard. So those are the four areas, we’ve made the submittal; we will be working with the commission. Hopefully by summer timeframe we’d a result in terms of exactly what those metrics will look like and what our opportunities are under the EAM. AMI, I mentioned this earlier, so we’re looking at fore rollout of AMI in New York for NYSEG and RG&E, electric and gas, it’s about 1.8 million meters, slightly over a $0.5 billion investment. We made this filing in a very similar manner to what other companies in the State have done, showing a very similar benefit to cost ratio, we fully expect to get this approved again sometime probably in the middle of this year, is our hope and it’s something we’re working through as we speak. In the mean time, we have a very interesting project. We call it Energy Smart Community that we’re doing in Ithaca, New York, and that includes the immediate installation between now and August of 19,000 meters electric and gas in that community. What we’re really doing in Ithaca is where we’re creating essentially a microcosm of what we view the utility the future to be. So we’re taking all of the components of our DSIP filing that we named last year and we’re applying them in Ithaca to see how they all work in one community. So whether that’s how we manage the grid and optimize the distribution network, how we forecast and look at solutions to issues on the grid using DER, DG and other technologies, or how we enable the customer to use energy more wisely, and to be aware of the services that are out there for them to use energy more efficiently. All of that’s going to be done within if you would a microcosm of the Ithaca area. The goal this year is essentially to implement and put in place all the technology. And then next year, we’ll essentially assess and monitor how all that’s working and from that to extent necessary, we will tweak our DSIP plan that ultimately gets rolled out across all of the service territory. So we’re really, really excited about this. No one else in the State is doing this. It’s about $26 billion investment that we get recovery through a specific rate adjustment mechanism that came out of the last rate case. Flipping over to transmission, so this is just a snapshot of where we are today. We have about $2 billion of rate base. You can see that about two-thirds of it earns the full ROE cap, it’s really comprised of those three large projects you see there that were put in service in the last few years. Jim touched on the fact that at this point we’ve had four complaints on the ROE in New England. Complaint number one has been resolved that’s what results in the current 10.57% base and 11.74% cap ROE. We have complaints two and three where ALJ has issued a recommendation for as in its infancy really can’t tell you at this point, when these will get resolved because of the situation we have now, we only have a quorum. But we do expect probably at least two and three will get some resolution later this year, my hope would be where the interest rates have gone everything that we really don’t see a measurable change from where we are now but it remains to be seen. So as we think about growth, we continue to believe very strongly that Maine holds great promise for being part of the solution to all the RPS standards and the needs of New England. And I say that for a couple of reasons. One, experience we completed as you know a $1.4 billion upgrade of the Maine system, a couple of years ago for MPRP did that on time, on budget and through that entire process, we got tremendous support not only from legislators, politicians but our regulators as well as communities, believe it or not who view this as an opportunity for economic development. We created over 3,000 jobs during the construction of that project. So as we look at other opportunities in Maine, we have two projects here that we had submitted in the previous RFP that the results of which we disappointed because they didn’t really grant a lot of what they originally were looking for. But we think hold great promise that’s MREI and MCPC so one project we see going to the North, one going to the West. Again, I think the key here is we are working with the communities over the long-term in the past, we’ve been very successful at acquiring right of ways and for these types of projects we have virtually all the right of ways in hand. That typically what trips up these types of large projects are right of ways and community support and again I think that’s where we see Maine being a really great place to invest. The other three on this page MEPCO, Lewiston Loop and Mid Coast are actually all kind of off-take to some extent of the end part MPRP that we completed a couple of years ago. One of them Lewiston Loop is already under construction. MEPCO we just started, Mid Coast will be starting up here later on this year in aggregate these three accounts for a little over $250 million of spend and they are in our base $5.7 billion of investment. In terms of New York, so we really have three areas of focus in Western New York, you recall that last year we submitted a project working with New York Power Authority to alleviate congestion there, made it through the first round. So we expect the final resolution and hearing who’s going to win that award in the second half of this year. We continue to progress a project we call Connect New York, this is an underground DC line essentially from Utica through the congestion points into the city. We think this holds great promise for a number of years. Reason number one, the congestion I mentioned its significant as results in consumers downstate paying billions of dollars more than it should be for energy. Number two, if you ask Frank all the best wind quality in a state is off the Eastern edge of Ontario in and around that park. And again it needs transmission to get to the most attractive market which is New York City. Number three, you have nuclear plants upstate while they are being supported now by this concept of ZEC, zero-energy credits. We view that as more of a short-term and longer term you really want to get the infrastructure in place to again allow them to have access to higher prices in the city. And then lastly and most recently, we announced shutdown of Indian Point. So all of these point to the need for greater infrastructure in the region and this is a project we continue to move forward with and we are hoping that later this year there likely be another solicitation within which we can submit this project and we will have it ready for that. And in the last one is New York Transco where we are working into the consortium of all of the utilities on projects they have a significant project right now in the AC proceeding this ongoing that we hope to have some resolution on later this year. And then lastly on gas, we see significant opportunities on the gas side as well, focused on three areas. So first we have two LNG facilities in Connecticut that need upgrade and so we are going to be spending about $85 million upgrading both of those facilities this year into next year and a little bit into 2019. We spend a lot of time and focus on safety as I mentioned earlier. And so we are spending a lot of money on leak prone pipe and replacing aged infrastructure. You can see here, we are talking close to $600 million between New York, Connecticut and Massachusetts over the next five years. And then lastly, as I said growth we continue to see good opportunities for growth I think in the last three years, we had six new franchises. We are looking at some additional franchises mostly in Connecticut although we are also working up in the Plattsburgh area of New York in terms of growth. So good opportunity there, we are probably going to spend in the $230 million to $240 million a year on growth over the next three or four years there. So in closing, I just want to say, thanks for your attention, we really feel optimistic with regards to networks and its outlook for the future. And again premise on those four items I will reiterate. Number one, you need a good foundation and I think we’ve done that in 2016 with a rate cases that we completed. So we are in good shape there. Number two, really executing onto strategy on our base investment, modernizing the grid, putting in automation, allowing for new technologies DER, DG and the like, it's going to be a big area of focus. Number three and I think this is an area where we have the opportunity to hit some real homeruns or some of these large transmission initiatives that we have going on in New England. And then lastly, the focus on continuing – a continuous improvement and efficiency through best practices, something that we focus on everyday and I think will contributed well not only to near-term better performance but longer term lower prices for consumers. So with that, I thank you very much for your attention once again. And I’m going to turn it over to our cleanup hitter as always Frank Burkhartsmeyer.
Frank Burkhartsmeyer: Thanks Bob. As Bob said, I’m Frank Burkhartsmeyer, CEO of Renewables business and like Bob on the network side, we are really enthusiastic about the opportunity to head over this plan. I’m going to give you some of that and then later, we are going to have a seminar, who are able to join us we can meet some of the team it's going to be responsible for executing on that. I think you will definitely get a sense, there is a very rich opportunity set here and we really have the team to deliver in this moment. So just a bit of highlight for those of you who might not be familiar we, Avangrid Renewables is the second largest Renewables, our wind operator in the U.S. with 5.9 gigawatts now installed with the addition of Amazon Wind East. We’ve got a pipeline for wind and solar of about 6.5 gigawatts, 5.5 of that is wind, about 1 gigawatt is solar. And we’ve build these projects primarily from our pipeline, we build this pipeline over years and we harvest it with the intention of owning and operating these, we are not in the business of building for sale, we are in the business of building to operate. Our operations are managed as Jim mentioned out of a state-of-the-art control center in Portland, Oregon. We can operate the whole fleet from there, we’ve invested heavily in our technology there to operate around the clock and we operate in seven organized electric power markets as well as the WECC. Finally, we are focused on providing unique energy solutions in the renewable space, as the C&I market we’ll talk about it a little bit later is an area that is looking for this and is really an area where we feel we provide leadership to the industry. And finally and Jim mentioned this all of our new projects will be with PPA and just a good thing to mention. One of our growth drivers in our industry right now, the market looks very good, robust through 2020 I’d say wind and solar has never been more competitive with traditional generation, as a sustained reduction in the levelized cost of energy has continued. In addition, many buyers of renewable energy see it as a good hedge against carbon-risk in the future. This competitiveness is underpinned by supportive tax incentives. We have PTC extension, we’ve got the ITC on solar, and we also have PTC available for repowering. So their strong support on the policy side. And on the demand side, we continue to see strong growth. In particular right now from the commercial and industrial sector, where they’re looking to green up their portfolios, respond to their customer and stakeholder concerns about carbon. And many of these customers are seeking additionality what that means is they want a new wind farm built, they want to be able to contribute to the greener future directly intangibly by having a wind farm that they can claim essentially as their own and we’re happy to provide that. I would say finally, the growth plan continues to be supported by state level renewable portfolio standards that require utilities to serve a portion of their load with renewable energy. This is still an important component of the growth, but at this moment – isn’t this key to us is a commercial and industrial. We think little bit later in this plan that will start to pick have a bit more importance to the utility customers. So, probably most importantly, let’s talk about what our built plan is here for the next four years. You can see – we have a robust pipeline. I’ve already mentioned that which compared with our Safe Harbor strategy we’ve secured 2,000 megawatts potential when build for the next four years as well as the repowering and we also have solar pipeline. Right now, we have secured 802 megawatts beyond the 206 megawatts that is just come on line, 208 megawatts at Amazon East. So we’ve got another 800 secured, that is 736 of wind which includes one, 200 megawatts PPA that we’re just in the process of concluding the execution right now at Montech. And then we’ve got the 66 megawatts of PV solar to Gala and WyEast projects that we talked about last time. Beyond that, we have another 400 megawatts where we’re in negotiation – we are in advanced stage negotiation with counterparts on some wind projects that we feel highly likely opportunities to come to market. And then what we would consider likely, this is another 590 megawatts of wind and solar. These are the advance stage development projects. They’re in markets where their customers are looking for these types of projects and we feel very good about bringing these to market over the course of this plan. So, between 2017 and 2020, we’ve got 1,800 megawatts in this plan that we feel very confident about of which 800 have PPAs at this point or PPA has been executed at this point. Beyond that, because we did Safe Harbor for 2,000 megawatts, there is another 968 megawatts of wind available at full PTC value during this period. If the market evolves, if we’re able harvest more of our pipeline of course we would very happy to bring more wind projects and we certainly have the balance sheets to support that. I want to talk a little bit here about C&I origination, that’s something that we – I think there is some mystery maybe to some people about it and where our space, how we fit into this space. This is not a new sector for – of Avangrid Renewables. We actually have a long history of dealing with this type of customer. We secured over 400 megawatts of new wind projects with commercial and industrial customers, as well as 56 megawatts of PV solar. We also, I think – about this time or little bit later last year announced the Nike transaction, which was on the new project, but it was just to take some of our existing merchant capacity in the Pacific Northwest to meet their rather than sophisticated need for green energy. This is a good example of the type of work that our origination team is doing to meet the needs of these customers, they’ve trying to customized products that works specific to their needs around energy management. We’re well positioned to continue to lead through leveraging our intellectual capacity capital. Our demonstrated commitment as an owner operator is very attractive to a number of commercial and industrial customers. They want to know that the generator is still going to be there, that were the ones that they’re going to deal with. Our reputation is in this space for developing and constructing in a responsible manner is also important to many of our customers. In our energy management skills which I talked about and we’ll talk about a bit more in our seminar later are also very important to some of these in terms of customizing the offering that they are looking forward. On the repowering side, as Jim mentioned, we have 350 megawatts of equipment that we’ve Safe Harbor at the end of this year – last year to allow us to repower equipment through 2020 and get full PTC value. We also have another 20 megawatt project that we bought equipment for late last year as well, 22 megawatt project with rest of GE. We have the tax legislation here allows existing wind farms to qualify for new PTC, if they fulfill certain requirements. Primarily, you had to have secured 5% of the cost last year and you need to replace 80% of the fair market value during the repowering. What you get for this is you get better, you get new equipment, you get upgraded aging equipment, you increase the output typically, and you get the 23, 24 – whatever the PTC will be at that point for the next 10 years. This strategy has strong economics with potential to extend PPAs as well. So we see this is a really attractive area for the future and we will take advantage of it. To the extent that both our wind economics and our – the economics of our sites and that customers a lot. We haven’t built a lot into the plan. I will tell you right now, we just have 50 megawatts, I think Jim already mentioned that 50 megawatts in the numbers to date, but it’s an area where we can do quite a bit more. Finally offshore, this has been touched on a little bit and it’s really mostly falls outside of the plan scope, but it’s a view of the future. DOE has a very long range plan, 86 gigawatts of offshore wind they expect by 2050. More importantly to us, we are seen in from North Carolina up through Massachusetts, we’re seeing a lot of interest in offshore wind. BOEM auction that wind energy area off of New York in December, we participated in that auction we didn’t win it, but it was very competitive and the site went for $42.5 million. Governor Cuomo announced the 2,400 megawatt offshore wind I guess initiative by 2030 following the Indian Point closure agreement. Massachusetts just passed legislation last summer for 1,600 megawatts of offshore wind and the BOEM will be doing an auction off the Kitty Hawk auction off of North Carolina in March. And we are qualified bidder in that. We’ll consider bidding as well. The point about all of this is that Iberdrola, we have a strong relationship obviously there. They are a leader in offshore wind. We have a big footprint in New England, in East coast we have a strong position in renewable energy and we really see the offshore market as likely to be something we’re paying attention to in the next decade and we are going to position ourselves to make sure that our natural strengths are ready to go at this market as evolved as we hope it does. So, I guess just to finish on a strong note that beyond 2020, there is the PTC will face out, but there are other growth opportunities out there. And we’re excited about the next four years, but we’re also excited about the 10 years after that. I think there’s a lot of investment in clean energy out there. With that I will turn it back to Jim.
Jim Torgerson: Great. I think we’re going to go from here. There’s one chart here on our gas storage business that – just gives you a little information about it. Basically, like I said we have some very good assets for Katy Hub, as like 14 interconnects into it. And we have other storage facilities. But we’re going to be looking at strategically what we want to do with this business over the next few months. And we’ll get back to you on what we intend to do and then not too just in the future. So with that I’m going to open it up for questions now and feel free to ask. I assumes we’re going to have some microphones passed around since this is being audio broadcast that people going to hear what questions you may have. So there’s a few of the start.
A - Jim Torgerson: Once you ask your question, I’ll repeat it. I can hear you.
Unidentified Analyst: [Question Inaudible]
Jim Torgerson: Yes, the question is in from the New York REV process and I assume the energy adjusted mechanism what’s in our base plan. So Bob, do you want to…
Bob Kump: Yes. Since we don’t really know what is going to happen there. As we’ve been pretty conservative in terms of the assumption, so we see exactly what transpires from that proceeding. As I mentioned probably mid-year sometime in the summer, we’ll have clarity in terms of how that proceeding comes up.
Unidentified Analyst: Okay, great. And then also for the Renewable segment. Just help me put together the dots here. How many new PPAs have been signed that are in plan as you know confirmed versus what we saw last year at the Analyst day.
Jim Torgerson: Last year, we had 744 megawatts that we had confirmed with – they are under construction with PPAs. We’ve added 200 for a new wind farm for Montech and we’ve added 66 megawatts for solar. And then we’ve actually added another 70 megawatts with – because a merchant facility that we have a PPA now with Nike. And Frank then we actually had another 100 megawatt that we are extensions, so.
Frank Burkhartsmeyer: But new build just to clarify yes, the 66 megawatts of solar and 200 megawatts wind to get.
Unidentified Analyst: [Question Inaudible]
Jim Torgerson: No. The 2.5% or 3.5% is the piece that makes up that 8% to 10% growth. So 2.5% to 3.5% of that growth is coming from Renewables count.
Unidentified Analyst: Right, right. I understand CAGR of the Renewables larger.
Jim Torgerson: Yes.
Unidentified Analyst: I’m just wondering what’s the base – of the base Renewables $0.50 a share, is at $0.60, is it $0.40?
Jim Torgerson: You’re referring to that graph where we split it between ...
Unidentified Analyst: Yes. Say you have – your CAGR of 8% to 10% and then on the series what the basis that are renewable.
Jim Torgerson: Yes. It’s after 2016.
Unidentified Analyst: Is it normalize number or is it $0.37?
Jim Torgerson: $0.37.
Unidentified Analyst: Okay. So you are not normalizing, that’s a normal wind production or anything like that.
Jim Torgerson: No, we did not.
Unidentified Analyst: Okay, got it. And then the merchant portion…
Jim Torgerson: Yes.
Unidentified Analyst: …of your total portfolio, after you secured some of the PPAs that 170 megawatts and I think there was 100 megawatts also that you got the extensions on. How much of the portfolio now it’s merchant?
Jim Torgerson: Today?
Unidentified Analyst: Today.
Jim Torgerson: It is in the fact of that.
Unidentified Analyst: Oh it is okay. I apologise.
Jim Torgerson: No.
Unidentified Analyst: If you are really look like.
Jim Torgerson: No, it is just…
Frank Burkhartsmeyer: Two-thirds of that, yes, about two-thirds.
Jim Torgerson: About two-thirds of productions is in – is PPAs and a third as merchant.
Unidentified Analyst: Third as merchant, okay. And then in the fact of two week and I apologise, two on the merchant portion do you give a price assumption?
Jim Torgerson: Yes. And it also in the plan there. And I don’t have a slide in front of me, but I believe we show that its $27 to $28 over the life of the plan.
Unidentified Analyst: Okay.
Jim Torgerson: And then you add in the REC values.
Unidentified Analyst: Right, right, right. And that’s based what like year end?
Jim Torgerson: Current forward curve, but it’s very…
Unidentified Analyst: Got it, yes. Perfect, that’s right.
Jim Torgerson: Quite flat.
Unidentified Analyst: Thanks, thank you.
Sophie Karp: Hello, good morning. This is Sophie Karp, Guggenheim Securities. Two questions, one on renewable, one on utility. So on the renewable it has one – actually if you go out that you kind of contemplated, but it’s not in the plan yet. And my question is what’s holding your bag maybe disjuncture couldn’t in the plan and like forming up – forming that up. And then on the utility, my question is as you contemplated the implication of the tax reform and ruling tax rate is might – as I understand regulatory columns and it could result into the response to your customers from the deferred tax liability, which you have the [indiscernible] right now. I was wondering how much of the cash refund that could be and how do you fund that? Thank you.
Jim Torgerson: Yes. The 1 gigawatt – Frank and deal with it, but basically we took what we thought it was the conservative plan that would allow us to get looking at how much we could add reasonably knowing for well that if the PPA market just keep developing. We have utilities come in. They want to meet RPS standards. Or we get more C&I that we have the ability to have even more construction and build that up further because we have it grand following effect because of the Safe Harbor provision. So that 1 gigawatt we feel very confident what we have in our plan. The 1 extra gigawatt we feel a less confident that doesn’t mean we can’t get it done, but we didn’t want to put in the plan. Secondly on the tax reform, if they don’t change the 1986 tax reform act, which would allow for normalization of any tax benefits, if they would go back to customers and we’d go back over the life of the assets. So – we go over life, so overall it will take 30 to 40 years whatever we’ll end up being. Assuming they don’t touch that that’s how it occur. If they change something then yes, the commissions will decide how fast the tax benefits do get pushed back to customers and what the cash in fact would then be for us. So right now it should be over the life of the assets. So I think they don’t change it. Frank, you want to add anything to that.
Frank Burkhartsmeyer: No I would – we have 1400 megawatts of growth in the initial plan a year ago and we felt very comfortable adding 600 megawatts to that. As Bob said, or Jim said we do see that there is a potential to go beyond that, but we want to put forth the plan were we can – to have line aside towards what project we think we would bring forward. This is what we feel most comfortable, say, this is about a strong plan, we think its membership plan and we’re excited about it. But we like to leave that extension room in there and we’ll see how the market evolves and keep this dialogue go.
Jim Torgerson: I think the other thing to keep in mind, we have about 6.9 gigawatt pipeline too of projects that we can do. So we have the pipeline there to do it. It’s getting the PPAs agree too and we don’t want to get too far out ahead of that. So that’s the basis for it. Believe me I’d love to see another gigawatt in the next few years soon. And that’s what we’ll be pushing Frank to do. Yes.
David Sunder: Good morning. David Sunder with Bank of New York Mellon. And thank you for the presentation this morning. My question is for nobody in particular but I agree with you a lot of opportunity in the renewable space. I’m wondering if you could maybe just give us some of your thoughts around storage and what that might look like in terms of the connected tissue between wind and solar? And talk about electricity storage.
Jim Torgerson: We got battery storage.
David Sunder: Battery storage, yes.
Jim Torgerson: Yes. Right now where we see it is as it develops and I think most would agree that the storage is not totally competitive yet today. But it probably will be at some time in the future. We would see storage being at, let say, the substation level where you can then utilize it to helping the distribution system and then also for transmission. So you’re bringing it into – into your system into the grid and operate using it almost as an instantaneous generator it is kind of the way to look at the way storage would operate. Using that with the renewal business whether it’s solar or wind being able then to store the electricity and then use it as needed is something we see would be actually very beneficial. Now to do it in bulk – not have enough capacity to be able to actually store for and then utilize it when, let’s say the wind doesn’t blow or the sun’s not shining or whatever you’re going to need a lot more storage than we can see today. But I know AES is doing a lot with their storage and they’re doing a lot of projects with it. So we’re going to – we’re looking at that pretty closely and Bob, you maybe want to get on to this.
Bob Kump: Yes, David. So a couple of things to Jim’s point from a networks perspective, so we are testing batteries kind of at the substation level in a couple of areas one in Connecticut and then one is likely as part of the Energy Smart Community. And it’s quite frankly the whole battery technology areas one where we’re leveraging half of the works being done from Iberdrola perspective on utilizing battery. So as much I’d say right now on a test basis on a trial basis. But we do see some application going forward vis-à-vis completely redoing a substation maybe delaying that by putting some batteries for a period of times.
David Sunder: Yes. Thank you.
Nancy Doyle: Hi. It’s Nancy Doyle with MetLife. Question on the cash flow again from being lower tax rate. Your appendix indicates that you are expecting lower cash flow as a result of a lower tax rate taking into account your comment on the normalization and deferred tax liability. But that coupled with a slight tick up in leverage that you’re planning and also increase in the unregulated portion of your business could put downward pressure on your ratings. I was just wondering if you are willing to defend the height will be ratings or if you were comfortable before in the mid BBB and you would be okay with that going forward.
Frank Burkhartsmeyer: Okay. Even with the potential for tax reform we would still a very strong ratings given where we started from. We think that’s one of the things that differentiates us from some of the others in the industry, when you are coming from a 24%, 25% net debt to total cap our ratio we’ve got room to absorb some of that without jeopardizing the high BBB rate.
Jim Torgerson: Maybe I’ll just add to that. Philosophically at the utility levels we are very cognizant of capitalizing them consistent with the right plans that are in place and so for example, we are typically I think over 50% equity and all of the companies and I wouldn’t see that changing we would again adjust as we move forward to ensure what optimizing if you were to capital structure relative to rate plans we have.
Nancy Doyle: And Renewables what actually see a cash benefit from lower rate?
Bob Kump: Yes.
Nancy Doyle: Okay.
Unidentified Analyst: Good morning, guys, I wanted get a sense as to at least to start I guess in 2016 and 2017, if you look at your rate case numbers that are guided, why does it seem like your earnings significantly above your authorized ROEs is there kind of apparent leverage or something that we might be missing in our calculation. And then also specifically 2017 versus 2016 year-over-year change in Networks EPS it’s a pretty big growth number around 7% to 12%, I know you are getting another kind of five or six months of rate benefit in New York, anything else in that number, tax rate change anything of that nature?
Bob Kump: Well, one thing is there and we move the UIL debt out of networks and interest expense there has gone up apparent so as increasing.
Unidentified Analyst: $0.04?
Bob Kump: Yes, $0.04 right there.
Rich Nicholas: Yes, and then beyond that and I’ve said before we strive and push our companies to earn at or above and into the sharing events of our various regulatory agreements that we have. So yes, we target to earn higher than the authorized return.
Unidentified Analyst: And there’s no risk regarding your plan and when you guys going for another round of cases in 2019 timeframe?
Rich Nicholas: Well, I mean the risk is always that sure, I mean you find best practices that allow you to be more efficient, if you are going for a rate case presumably you give it back, we also typically have the flexibility. If we just stay out, and don’t have to going for a case. And you have to look at as you forecast forward where do I forecast, my returns to be relative to where our regulators currently authorizing returns and you make that judgment as to whether you can stay out. Our preferences I said from a rate perspective, we’d love to stay out. And just not go back in but recognizing the amount of investment we are going to have to make that sometimes gets difficult.
Bob Kump: Also in 2017 full year UI distribution rate increases, there was no affect in 2016 from that…
Unidentified Analyst: Good morning. Just a sort of follow-up on that, I guess – how should we think about what you guys are exactly planning in terms of getting into the earnings sharing event is that what we should be thinking about in terms of what your forecast included with the state utilities?
Jim Torgerson: Yes, as I said, we target and we push the organizations to earn into the sharing event, so not just to the authorized return but beyond that.
Unidentified Analyst: Okay. And then in terms of the ROE, as a transmission company, in Slide 36 pretty much what you guys are expecting to have in terms of – does your guidance include pretty much what you have in Slide 36?
Jim Torgerson: Yes, right now, its premised off of the results from the first compliant which is it says there was a base transmission ROE of 10.57% and ROE capital 11.74%.
Unidentified Analyst: Do we have, I apologize if I missed it, in new transaction or something is there a sensitivity that you guys have 50, 100 basis points if that changes?
Bob Kump: We did not put the sensitivity in the plan, its not in the projections, its not in the deck.
Unidentified Analyst: Okay, would you like to share with us, if you have off the top of your head or? If you don’t have, okay, we can follow…
Jim Torgerson: We will follow-up.
Unidentified Analyst: And then the AMI could made a reduction that’s associated with that, how much is that, how many megawatts or what kind of percentage of?
Jim Torgerson: I can get you, it’s a matter of public record, benefit costs analysis we did.
Unidentified Analyst: Okay. Thank you.
Jim Torgerson: It’s about $500 million investment overall.
Unidentified Analyst: In the AMI?
Jim Torgerson: In the AMI alone.
Unidentified Analyst: Right, I’m just – I know the…
Jim Torgerson: At the savings, what are the components…
Unidentified Analyst: Just I was wondering, what it might do the load growth that’s all, Connect I know was trying to get [indiscernible] I think a large amount of that depended on the load growth reduction I’m just wondering, would you guys knew it off the top of your head, that’s all.
Jim Torgerson: Okay.
Bob Kump: Just a follow-up on the transmission sensitivity, 50 basis point change in the transmission ROE, is about 1% change in consolidating EPS, as we get out to 2020, $0.025 to $0.03.
Unidentified Analyst: I just want to make sure, I don’t know if you answer the question correctly or maybe I even understand my question just that kind of Renewables, because if you take the $0.37 base for 2016 and you look at your growth rate of 2.5% to 3.5% CAGR of the base number – of the base not for Renewables and when you look at your guidance for 2017 and I don’t know this is 55% says, that’s 48% growth rate of the $0.37 and that would imply the Renewable business would not be growing after that based on your charts, and I’m thinking maybe the $0.37 is not really the base.
Bob Kump: No, the $0.37 is base and you can’t look at the growing 2.5% to 3.5% what we are saying is of the 8% to 10% growth, 2.5% to 3.5% is – because of the growth in Renewables and would add I think whatever the number…
Unidentified Analyst: Again, if you are growing from $0.37 to $0.55?
Bob Kump: The first year, yes.
Unidentified Analyst: Right, that’s a big part and then after that would most imply most of the growth, actually I’m thinking that he base is include…
Bob Kump: CAGR for Renewables exclusively…
Unidentified Analyst: Much lower base than what you are going to earn in the 2016 and that’s my point and I don’t think that’s – is that really what you are seeing?
Bob Kump: Five kind of a flat earnings trajectory after 2017.
Frank Burkhartsmeyer: I think the conclusion may raised out – but it maybe is how that graph could be understood I mean the growth on Renewables CAGR is greater than the 6% to 8%, 7%. How it contributes to the Avangrid growth as growing from 27% to?
Unidentified Analyst: But it seems that most of that growth in recurring in 2017 is that correct?
Bob Kump: Look it or not…
Unidentified Analyst: We can talk about it afterwards. I’m just confused by it.
Jim Torgerson: Look at the EBITDA growth, it wouldn’t be impacted by taxes and that’s 9% to 11% what we are talking about for the Renewable business and really the impact we have in 2016 on Renewables was higher tax rate because of the split between that Rich was talking about which was about $0.11 a share, they went from Renewables to corporate. If we start with $0.37 it seems like its all in the first year but you look at EBITDA we are growing 9% to 11% and that eliminate the tax impact so it is growing.
Unidentified Analyst: I have to think about. Thank you.
Jim Torgerson: Sure.
Unidentified Analyst: We maybe think about if we normalized out that with the CAGR would be differ.
Jim Torgerson: Off of a different base.
Unidentified Analyst: We do have that math on hand but that’s something…
Jim Torgerson: Yes, I don’t think we disclosed the…
Bob Kump: One of the questions, way in the back. Keep moving, you are making…
Michael Lapides: Sorry about that, it’s Michael Lapides from Goldman Sachs. Bob when you look at the New York transmission projects, which of the ones do you think have the potential to move earlier and which of the ones are really kind of post 2020 – post 2025 timeframe?
Bob Kump: Yes, so when you look at the three that I have listed there, Western New York is first, we’ll find out second half of this year, whether this winning bidder on that. Then the projects that Transco has in the AC proceeding would be up next, little bit behind that in terms of timeline. And then Connect New York where thinking that there probably another some form of public policy proceeding later this year into early next within which we could introduce this project. So that would be order, Western New York, Transco, Connect New York.
Michael Lapides: Can you put some capital dollars around those three, just kind of what they are for having growth portion of those?
Bob Kump: Yes, unfortunately I don’t think we’ve disclosed Michael any of those at this point, the bids for the first two have been confidential and then the third is well is kind of in this infancy. I would say this, I can get you some numbers on relative side how many miles of – and that will give you I think a pretty good sense of what the scale look like.
Michael Lapides: Great, thank you. And finally when you are thinking longer term about offshore wind, do you think the greatest opportunity is winning the wind plan, or winning the transmission wire that connects the wind plan and is there a significant advantage in being about to do both.
Jim Torgerson: I think we’d like to have both. Mainly because the transmissions you’re going to – what will happen is you’ll have a package deal, I mean based on the RFPs we are expecting, you will have to have the transmission and the energy components embedded and so that’s what you are going be selling is my guess. So obviously we’d like to do both and we have transmission expertise, and obviously we have the offshore wind expertise from Iberdrola, I mean they have four of very large wind plants at offshore right now that are either build or under construction in Europe. So we have the expertise we could get and we’re actually working directly with the people of Scottish, Poland and Iberdrola overall on looking at the wind potential offshore in the U.S. today and transmission, I think, we’d like to see both obviously. What else?
Abe Azar: It’s Abe Azar from Deutsche Bank. If capital expenditures are allowed to be deducted right away on the tax reform, do you have a backlog of projects that can help make up that earnings gap?
Jim Torgerson: Yes, I think as we showed in the one chart that if you have the lower tax rate and you’ll lose the interest deduction and then the capital expenditure is fully deducted, we’d still be at 8% to 10% growth. Now do we’ve a backlog, yes, we probably have. I think we saw in the presentation, all the projects Bob was talking about from transmission, we have a $500 million that we could look at right that we could be evaluating that already in our plan at all and that’s kind of the minimum. So, yes, we can feed in more projects. The question is that, make sure they are economical, make sure we can get them done, but it’s not going to affect the 8% to 10% growth rate either way. So we see that as a plus for us. Just because we have such low leverage and very little debt at the holding company that it’s most of it will just get passed through customers were assuming, it has in the past and things they get changed like that, huge tax changes typically get passed through pretty easily to consumers in one way or another either if it’s a benefit to them or
Unidentified Analyst: [indiscernible] I do have a very high level question on your guidance based on what I’m seeing – the long-term guidance in terms of EPS hasn’t changed, but the CapEx required to get there has increased. Is that in fact the right interpretation? And if so, what are the offsetting factors that are leading to slightly lower return on your capital?
Jim Torgerson: I think the answer to that is we took out a lot of the transmission projects that were in there and they would’ve been at probably the higher return and now we have more of the distribution projects which are probably a little bit lower. We have increased the renewable piece and the spending, but we’re probably not going to see a lot of the revenue because those are more just of a back-end in the 1920 timeframe when they’re going to be coming in because you look at we are in the 600 megawatts, we don’t even have TPAs for those yet, so that’s going to be more back-end loaded too. So I think that’s the two explanations that I would see as to why we’re spending a little bit more, yet we still have the 8% to 10% growth.
Bob Kump: Yes, I think Jim we looked at that and if you looked at what we showed a year ago or networks rate base versus what we are showing now, it’s actually lower now because we’ve taken out all the probable reinvestments, but substituted in large part – or solid investments like the AMI and the rest to some extent to offset.
Frank Burkhartsmeyer: And likewise on the renewable we’ve added probably 400 megawatts into 2020 which you won’t see in the CAGR because it’s going to hit in 2021.
Unidentified Analyst: Yes. Hi guys. First question just on Slide 9 in the long-term update, the $500 million of networks projects are not in the plan, they are pieces. Is that just the New England MREI and MCPC or is that all of the transmission projects been probably waited in there?
Jim Torgerson: That’s not all of them, but it is a visage kind of the way we looked at in the year ago in terms of potential probability rate. I would say that overall when you look at our total portfolio of potential products we’re looking at, I could easily see a couple of examples where we just hit, one of them it’s a home run, and we blow through the $0.5 billion. So that’s the – I guess as a visage it’s probability weighted but clearly not all of them, some are just distribution as well, it’s not just transmission products.
Unidentified Analyst: Okay. But that $500 million number is this probability weighted of bunch of different things basically?
Jim Torgerson: Yes. To be very frank, I wouldn’t put a lot of weight on the $500 million personally. Our goal is to find a lot more than $500 million.
Frank Burkhartsmeyer: And now adjust the $500 million within this plan period some of those projects would stand out…
Jim Torgerson: Would stand out beyond. That’s right.
Unidentified Analyst: Okay. On the renewable side, so you’re still assuming that the flat $26 to $28 in megawatt-hour for merchant wind.
Frank Burkhartsmeyer: Yes.
Unidentified Analyst: Could you maybe just put any contexts around how much that downside you can endure there within the 8% to 10% growth?
Frank Burkhartsmeyer: Well, just to put it in context that current – basically current liquid gas market prices and power prices. So, you’d have to – I’d say, I would leave that up to you to say where you think the commodity range would be upside down beside on that and so $26 to $28 is pretty modest average merchant power price across the fleet at this point. We’re not quantifying the downside at this point.
Jim Torgerson: We’ve – this is a sensitivity –
Frank Burkhartsmeyer: Yes, 10% move in price up or down would impact consolidated earnings by about 1%. So we need have to $0.03 per share by 2020.
Unidentified Analyst: And last one just on the dividend in 2018. Is there – is the idea to just get within the payout target or you guys going to try to get it to the midpoint pretty quickly?
Jim Torgerson: Obviously, we want to get it into the range that’s what we’re really looking at and then stay in the range going forward. So we’re looking to get within the range, most of the things, the midpoint is lower the high-end, but we do feel pretty strongly that we will be able to increase the dividend in 2018.
Unidentified Analyst: Thanks.
Frank Burkhartsmeyer: I’m going to clarify a point, the second question about the 2020 investment. I think I said 400, it’s 200 additional megawatts in 2020, not 400.
Jim Torgerson: Any other questions? Okay. I think the next thing we’re going to do is we’re going to take a break. There’s going to be lunch for those who want to hang around and then we’re going to go into the Renewables Seminar, I guess for calling it starting – that starts at 12:30. So we will back in here at 12:30. So thank you.